Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Enfusion’s Third Quarter 2024 Earnings Conference Call. At this time, all lines have been placed on mute to prevent any background noise. Following speakers’ remarks, we will open the floor for questions. As a reminder, this conference call is being recorded. I would now like to turn the call over to Bill Wright, Head of Investor Relations to begin.
Bill Wright: Good morning, and thank you, operator. We welcome you to Enfusion's third quarter 2024 earnings conference call. Hosting today's call are Oleg Movchan, Enfusion's Chief Executive Officer; Brad Herring, Enfusion's Chief Financial Officer; and Neal Pawar, Enfusion's Chief Operating Officer. Please note our, Quarterly Shareholder Letter, which includes our quarterly financial results has been posted to our Investor Relations website. I would like to remind you that today's call may contain forward-looking statements. These forward-looking statements are subject to numerous risks and uncertainties, including those set forth in our filings with the SEC, which are available in the Investor Relations section of our website. Actual results may differ materially from any forward-looking statements we make today. These forward-looking statements speak only as of today, and the company does not assume any obligation or intend to update them following today's call, except as required by law. In addition, today's call may include non-GAAP measures. These measures should be considered as a supplement to and not a substitute for GAAP financial measures. Reconciliation to the nearest GAAP measures can be found in today's Quarterly Shareholder Letter, which is available on the company's website. And now, I would like to turn the call over to Oleg to begin.
Oleg Movchan: Good morning, and thank you for joining us today to discuss our results for the third quarter of 2024. This quarter was about the execution of our long-term strategy. We're pleased to see that our initiatives over the past several quarters are aligning and starting to add up. Throughout the year, we have been delivering new products that allow us to attract and retain larger up market clients in line with our strategy to expand into higher value market segments. We will discuss some of these product developments and subsequent wins, our proof points on our call today. As you can see, from our third quarter 2024 earnings release published earlier this morning, we reported a strong quarter with 15% top-line growth and narrowed our 2024 full year guidance, which Brad will discuss later. We also remain on track to deliver on our medium-term guidance of 20% to 22% revenue growth rate over the 2025-2027 period. Our confidence in achieving our mid-term guidance is based on our ability to win new business by broadening our product offering to capture upmarket opportunities while further expanding our geographic footprint. I believe we can accomplish this because we have already doing it that our investments in platform capabilities result in broad product adoption. We are capturing new business today that was previously out of reach due to our expanded product suite and global reach. Our more than 1100 employees are constantly striving to deliver the last upgrade our clients whatever need. Now, let me walk you through some key financial highlights from the third quarter. We delivered $51.2 million in revenue in Q3 2024, representing 15% year-over-year growth. Third quarter adjusted EBITDA totaled $11.1 million, translating to a healthy adjusted EBITDA margin of 21.8%. Brad will provide a deeper dive on financials later. We signed 38 new clients in Q3 2024, up from the 37 signed in Q3 2023. This brings our total client count to 894, another strong record. The strong US launch market were highlighted in the first half of the year continued into Q3. We captured eight new launches, totaling 31 year-to-date in the Americas, which puts us on track for our best year since 2021, which had 35 new launches. Fund launch wins that originate from portfolio managers that have a strong loyalty to Enfusion brand from their previous firms. For a customer count standpoint in Q3, launches represent 53% of new clients versus 47% for conversions. However, from a booking standpoint, launches represent 38% while conversions represent 62% of bookings as conversions are typically much larger accounts. Overall ATV for the firm rose to 229,000 in Q3, which is another strong record and it represents 5.7% year-over-year growth. Several of our new account wins this quarter are a direct result of our expanding product shelf and continued client adoption. As you have heard me saying many times, our new product rollout this year including our Portfolio Workbench tool has been central to our strategy in expanding up-markets leading to larger and more profitable relationships with more stable revenue profiles. The second release of our Portfolio Workbench tool in Q2 included additional enhancements but expanded our serviceable count and allowed us to win accounts in the third quarter that are previously out of reach. We are very excited to see this effort materialize. Importantly, as we roll out premium features that the mechanics are offering Portfolio of Construction, we expect to see revenue expansion in both the front and back book. Allow me to provide you with a few notable client wins across geographies from this quarter. In the Americas, revenue grew 17% year-over-year, up significantly from 10% last year and up from 15% last quarter. The following wins illustrate call it the product investment has been unlocking in new clients for Enfusion. Credit transformations have remained strong this year and we can continue expanding our market share in this segment. I'm thrilled to announce that Enfusion signed Agile Investment Management is a Florida-based institutional asset management fixed income firm with about $660 million in assets under management and assets under administration. The Agile investment process combines top-down and bottom-up analysis with the team’s commitment to comprehensive risk management in identifying opportunities to generate attractive income streams. The Agile team maintains a constant focus on risk management that was designed in genesis signature style for almost 40 years. When Agile was appointed sub-advisor to the IA Clarington Core Plus Bond Fund, they needed to ensure that they had a technology partner that was able to drive operational efficiencies across the front-office, while operating on a modern platform that could scale with them into the future, they chose Enfusion. Agile will utilize Enfusion’s OMS broadly, including Portfolio Workbench for cash flow rebalancing pre-trade compliance, cash letter reporting and managed services. This is a very exciting win as we continue to grow our momentum in the Institutional Asset Management space. Another notable win up-market this quarter, which I am pleased to share demonstrates our continued expansion in the Institutional Asset Manager space. Frontier Global Partners is delighted to partner with Enfusion to enhance their investment trading and operations. Frontier’s strategies invest not only in frontier markets, gut also global, international and international small cap equity markets tech with the markets. And it was imperative that they partner with a firm that has the security coverage. Frontier was an opportunity, we nearly lost two years ago, but we stayed in contact with them periodically. Then recently unhappy with their existing provider, they came back to us realizing their business needs lined up with Enfusion built of our Portfolio Workbench, which allows dynamic portfolio rebalancing workflows, coupled with a robust compliance engine. The compliance engine provides transparency into the data, which their legacy provider could not support. This is a very exciting win, with a prestigious well-known asset manager in the institutional asset management space. As we stated throughout the year, we have made a concerted effort to win more institutional asset management and I am pleased with the team’s effort and execution and most importantly, results. Turning towards EMEA, revenue grew 22% year-over-year in Q3 2024, down modestly from the last quarter as we saw an unusually high amount of involuntary churn at the end of Q2 and beginning of Q3. This closures impacted the growth trajectory for the quarter but Q3 was also the best quarterly bookings in the EMEA in our history. Signing several large new asset managers is a positive leading indicator for future growth. As a reminder, Europe has a diverse mix of financial institutions. And Scandinavia continues to be a growth region for us. We won another account in Norway this quarter with Fearnley Asset Management.. This is a newly formed asset management arm of Astrup Fearnley AF and will be trade-in launch to our equity and credit. The Astrup Fearnley Group represents over centuries of history growth and excellence in the areas of shipping and offshore services. Enfusion’s presence continues to expand within the Norwegian assets management industry. As mentioned in our Q2 call, we have been focused on the Middle East and specifically Dubai. As a result of these efforts, I'm happy to share that we closed another account in Dubai. We're pleased to announce that Magellan Capital, a prolific several hundred million dollar multi-strategy launch in Dubai has selected Enfusion to support their complex asset classes in workflow requirements. This win is a further testament that Enfusion success and continued growth prevalence in the Middle East. Lastly, with our London space, we're proud to announce that TT International, an Alpha-driven specialist investment manager has selected Enfusion as their strategic partner for PMS, OMS, accounting and portfolio construction and rebalancing. Following in several market evaluations their decision to replace multiple existing systems with our front to back solutions underscore their confidence in our platform. The partnership is set to blipped operational efficiency, streamline workflows and enhance straight through processing. Turning to Asia-Pacific, revenue grew 6% year-over-year, moderating from 10% year-over-year growth last quarter. As you may recall, we have highlighted the capital outflows and geopolitical trends in APAC for the past few quarters. And given those macro headwinds, we’re pleased with these results. We continue to sustain healthy growth through the market share gains among traditional and hybrid asset managers as we weather the macro conditions that are impacting hedge fund market. The following client wins is a good representation of how we continue to diversify our business. is among the latest institutional asset managers to partner with Enfusion and enhance their investment management operations. [Indiscernible] is a Chinese financial services company with services from sell-side, sales and trading research, investment banking to buy-side asset management and private equity investments. Enfusion was selected as the primary technology and services provider to help them grow and scale their asset management division. The advantage they see from Enfusion is our all-in one design, to help seamlessly connect their front-office trading and operational teams and it allows them to replace two of their incumbent systems including their order management system and accounting system which will optimize their total cost of ownership. Another key win this quarter and proof point demonstrating our continued market leadership position in Hong Kong was a $500 million AUM longshort equity manager with offices in China and Hong Kong. It is among the latest investment managers to partner with Enfusion to enhance their investment operations. Enfusion has been selected as the primary technology and services provider to help and grow and scale their investment business. They chose Enfusion due to the functionality of our AMS feature within the mobile App and also pre-trade compliance help them ensure they are always trading within their compliance and regulation. At this time, I'd like to have Neal Pawar, our COO to make a few comments on products and services.
Neal Pawar: Thank you, Oleg. This month marks my first full year at Enfusion. Over the past year, a major area of focus for us has been to add capacity to our products and engineering teams, so that we can increase the velocity of adding new capabilities for our clients. This is key, so that we have more tools to unlock new clients opportunities, helping our front book, as well as capabilities to offer our existing clients, helping grow our path book. This past quarter, we have added several product enhancements for the Portfolio Workbench including most recently, native rebalancing of fixed income portfolios. A great advantage of our weekly release cables is that we are routinely pushing out new features to clients, something that is extremely helpful, especially when developing a new product like the Portfolio Workbench. We can also report a strong rate of mobile adoption for the Workbench, which is a good reminder that portfolio managers are increasingly looking for ways to manage their portfolios, while they're on the roads. As you've heard from Oleg, the Workbench continues to play a part in the Enfusion landing several new asset management clients this quarter, for whom some of the Workbench capabilities were table stakes. The addition of these customers is a nice proof point of how the Workbench is helping us grow our front book, and it's expanding our serviceable TAMs. We have also delivered the first in a series of upgrades to our managed service offering. As we've mentioned previously, our managed services provides our clients, a dedicated team that operates as an extension of the clients Organizations, providing accounting and operational support for the clients shadow accounts. This quarter, we data released a highly visual and intuitive set of dashboards for managed service clients to better track and measure their team's work products. This release went out to a subset of our managed service clients and is the first significant technical enhancement we've made to this service since it was first launched. It is by no means the last. We are adding a number of new features to our managed service platform in the coming months. We're very focused on improving both the clients and operation user experience, while also increasing productivity and hence margins for the managed service business. These enhancements will also give us new product capabilities for us to upsell to clients who do not leverage our managed services today. We have also released a complete reboot to our online documentation, a system we call Violet. We have over 75 clients in the beta release of Violet and the feedback loop this has generated is helping prioritize what we will cover next. Having all of our documentation in Violet has given us the opportunity to leverage AI, so clients and employees can ask questions through the search and get answers along with links to source documents to solve the problems. Violet is broadly regarded as a huge upgrade over our previous documentation and we will be closing the beta and rolling it out to all clients in Q4. Over the past year, you've also heard about some of the talents we brought into the firm. We have added several senior hires to the product team, investing in key areas, including compliance OEMS, data, user experience, and analytics. Of course, product looks in lock step with our engineering team, where we've also been investing in more capacity. We recently announced the appointment of Arman Artuc to Head of Engineering. Arman will oversee the continued scaling of our engineering teams, as they work on delivering our product roadmap. Arman comes to us from Instinet, where he served as Managing Director, Global head of Liquidity Technologies leading the development of Low Latency Algorithmic Trading Systems. Arman’s arrival is at a perfect time, as we have grown our engineering organization by 40 people year-to-date. Overall, we are pleased with the new velocity that we're gaining in our products, and engineering throughput. And as you can see, we're putting it to good use. We remain committed to continuing to enhance our platforms, so we can provide our clients with the last upgrades they will ever need. And with that, let me turn it back over to Oleg.
Oleg Movchan : Thank you, Neal. Back to market dynamics, the strong US launch market has continued and we're on track to have our highest US launch win count since 2021. As you may expect, the Americas is our largest region and generated a 200 basis point sequential improvement, which we see as a big contributor. I'm excited to share that our EMEA sales team recorded its highest ever new client quarterly bookings in the third quarter with an average deal size in EMEA at two times the average deal size from efficiently at the first quarter of 2023. Looking beyond our core markets of the US, UK and Hong Kong, we continued to generate healthy geographic expansion. In particular, 32% of our new clients added in the third quarter came from outside of this core markets, well above our previous average of 19%, since Q1, 2021. From product standpoint, we saw 84% of new clients choosing to include our OEMS, the highest quarterly average since Q4 ‘21 and well above our historic average of 75%. Hence, new accounts are growing in size on the front-office side, which improves unit economics and quality and growth of the front book. As our own growth momentum in the Middle East continues to be strong, as reflected in our recent wins, we have been evaluating an expansion of our corporate footprint in Dubai. We view the region as strategically important for Enfusion as we follow the flows of talent and capital. Additionally, our team continues to work on designing our product roadmap to capture the private credit term segment. We view credit instrument data as the main pinpoints for the market participants and will build our new product roadmap in private markets around an integrated data strategy and related workflows In conclusion, evidence that we have been doing the past several quarters is aligning and adding up. As you just heard from Neal, we are executing on our product roadmap and up-market strategy which we laid out at our Investor Day early this year. Our successful execution is reflected by increased ACVs, revenue growth and expansion of our footprint in the institutional market segment as evidenced by our marquee client wins. The products we've rolled out in 2024 have been well received by existing clients, and have positioned our sales team to bringing new up-market clients. The key new multi-billion dollar clients we won this quarter such as TT International, were previously out of reach and now serve as proof points of Enfusion product adoption and hence our growth in the institutional asset management segments. And now, I will turn the call over to Brad to discuss our financials.
Bradley Herring : Thanks, Oleg, and thank you, everyone for joining us this morning. For the third quarter, we generated revenue of $51.2 million, an increase of 15% over the same quarter last year, referring to the same descriptors we used in our discussions at Investor Day and on previous calls our 15% growth for the quarter consisted of 14% from the front book and 1% from the back book. Our front book continued to show strength as our value proposition continues to resonate across our growing TAM segments. Specifically, our year-to-date bookings are running 16% over where they were at the same time last year and continue to represent a good mix of new launches and conversions off of our competitors. Additionally, we continue to see our product initiatives such as Portfolio Workbench bearing fruit and allowing us to win accounts that previously passed on Enfusion as a provider. The back book contributed 1% growth in Q3, on a year-over-year basis. Moderation in the back book is coming from two primary sources. First in Asia, we are seeing a lower net between upsells and downgrades, which we refer to as our net organic growth, which shouldn't be a surprise given the recent geopolitical headwinds. We are also seeing general softness in organic growth amongst our domestic hedge fund clients. The feedback we have heard is that our clients have put extra scrutiny on their other OpEx spend ahead of the uncertainty with the upcoming election. Despite recent slowdowns, we continue to expect that back book growth will contribute 3% to 5% of our overall growth going forward, just as I communicated and our Investor Day earlier this year. Going forward, we believe this temporary softness in our back book will be more than offset by the upcoming product deployment Neal spoke of, as well as accelerated pricing actions across our customer base. Third quarter ARR was $202.7 million, up 14% year-over-year and 4% higher than what we reported in Q2. We're proud to say that this represents the first time our ARR has crossed the $200 million mark. Our NDR for the quarter was 102%, which is down one percentage point from the previous quarter. Consistent with the discussion on revenues for the quarter NDR was negatively impacted by the lower growth from the back book, as well as by consolidation of two large broker/dealer customers, which reduced our NDR by approximately 60 basis points in the quarter. As a reminder, that impact will roll-off in Q4 of this year. Our adjusted gross profit increased by 17% year-over-year to $35.2 million. This represents an adjusted gross margin in the quarter of 68.8%, which is up 79 basis points over Q3 of last year and represents the third quarter of sequential expansion and adjusted gross margins. We are pleased by this performance, which is in line with our expectations given the investments we made in early 2023 in client services. Adjusted EBITDA for the quarter was $11.1 million, up 36%, compared to the same quarter last year. This represents an adjusted EBITDA margin of 21.8%, which is up over 320 basis points from the same period a year ago. The improvement over Q3 of last year was due to continue scale from our SG&A function and lower corporate costs. Adjusted free cash flow for the quarter was $13.7 million for a free cash flow conversion in the quarter of 123%. This pattern of over 100% conversion in the quarter is consistent with Q2 results over the past few years and is driven by normal cyclicality of our net working capital. For the trailing four quarters, our adjusted free cash, flow conversions was at 53%. GAAP net income for the quarter was $2.0 million, which on an average share count of 129 million shares results in a GAAP EPS of $0.02 per share. Adjusted net income of $5.9 million on the same share count produces an adjusted EPS of $0.05 per share. We ended the quarter with the approximately $48 million in cash and cash equivalents with no outstanding debt. Our cash balance, combined with a $100 million of capacity on our revolver continues to give us adequate liquidity to support both our organic and inorganic growth objectives that we discussed at our Investor Day in March. Moving on to guidance, I want to take a minute to summarize year-to-date performance that tightened up our estimates for the full year. I mentioned for the last few quarters, a few important trends that highlight our current year revenue performance. So to summarize, new client wins continue to drive strong growth, while our back book growth is temporarily moderated. I've mentioned in previous calls, that while new customer signings in the front book take several quarters to convert into book revenue, the moderation in back book trends have more near-term impact. With that context and given visibility into Q4, we are tightening our full year revenue guidance to a range of $202 million to $205 million. Our trends in profitability continue to improve due to disciplined cost management and investment decisions. We are therefore tightening our EBITDA guidance to land between $41 million and $45 million. At the midpoint, this represents an EBITDA margin of 21.1%, which is consistent with our original full year guide. With regard to free cash flow conversion, we are reiterating our original guidance range of 50% to 55%. We're not tightening this range given the variability we typically see in cash inflows and outflows at year end. For modeling purposes, we continue to expect stock-based compensation for 2024 to land between $19 million and $20 million. We'd now like to open up the call to questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Michael Infante of Morgan Stanley. Your line is open.
Michael Infante: Hey guys, thanks for taking my question. I just wanted to first start with the expiration of strategic alternatives to clear the, the business isn't being valued like a high-teens grower with really strong margin expansion. So, Oleg, be great to get your thoughts just on the state of the business today and how you think about some of the boundary conditions that might dictate your decision on whether or not the business stays public or private? Thanks.
Oleg Movchan: Thanks, Michael. To start, as a matter of policy, we don't comment on the rumors. As I've been saying all along and this remains to be true today. The management team, the Board are focused on creating shareholder value long-term and that’s what we are focused on.
Michael Infante: Understood. Two-part question on ‘25 here to the extent I can. Obviously, you alluded to confidence in the release in the midterm outlook. But maybe just given some of the back book trends, I know, Brad you mentioned confidence in being able to recover to that 3% to 5% range. But to the extent that we don't get back there, how do you think about the combination of some of the accelerated pricing actions and the new product developments you alluded to deliver on the medium-term outlook for next year specifically? And even if we don't deliver on that two handle for next year and it’s something like high-teens, the incremental margins for this year at 39% even if you hold those assumptions steady for next year, it seems like you should still be able to deliver on our performance in terms of really over 40 for next year? Is that generally fair or what nuance would you had to that? Thanks.
Bradley Herring : Hey, Michael, it's Brad. Thanks for the question. Couple thoughts. So one, when you think about 2025, one of the things that I mentioned was that that gives us the confidence, we've got so many more levers to pull when we go into 2025. I want to pause just for a second to make sure everybody can understand the impact of some of the hires that Neal just made on his team, whether it's the product team, whether it's the transformation team, whether it's new heads of managed services, new heads of engineering, we've got a very different team on the field going into 2025 that we had starting in 2024. So that gives us a lot of confidence of knowing that we've got opportunities to get product in the market. We’ve got opportunities to explore the pricing opportunities I mentioned. And there's also a dynamic around when you go up-market, we've got much more white space in our customers. So that gives us a much more bigger TAM to work with internally on our back book. So, at the end of the day, we got a number of levers to pull going into 2025 that candidly we didn’t have going into 2024. So I think, more levers to pull gives us much more confidence going in in terms of back book performance for 2025. Going into your question on profitability, I agree it 100%. We've always focused on our pass through rates. We’ve always focused on allowing a fair amount of our incremental revenue to flow through into margins. So we still standby picking up, those couple hundred basis points of margin improvement into 2025, just based on that, continued philosophy that we all use internally.
Operator: Your next question comes from the line of Dylan Becker of William Blair. Your line is open.
Dylan Becker : Hey gentlemen. Appreciate the question. Maybe sticking on that thread from Brad. But passing it for Oleg or Neal, kind of with that recent flow of new key hires, how you think about kind of the evolution of the executive team and maybe the importance in the background that that each of those have kind of doing this at scale as you think about kind of incremental confidence and your push up-marketing, kind of economic shift with the model here?
Bradley Herring : Yeah, so let me cover the high level executive hires and Neal may comment more on the deeper level of the organization. One big issue that I highlighted, as we are thinking about expanding into executional asset management market we will have to think through our brand design and brand positioning and corresponding go to market strategy. So, looking for senior hires on the marketing side is one of the top priorities, the same goes for some elements of the products, revenue organization basically aligning the firm to be able to capture that opportunity set as well as possible.
Neal Pawar : Yeah, and with a lot of the new hires, senior hires have come in over the past year, we're seeing the ability now for us to make good investment in improvements to our managed services continuing to build out our Workbench and also continuing to build out our marketplace, where we offer partnerships to companies that have capabilities that are of interest to our clients so we can sell to them through a revenue share with Enfusion. So we are in the shelves of the product organization so that we have a lot more products on the shelf to sell to our existing clients and we expect that to have a positive uplift on the back book as we look into 2025.
Dylan Becker : Okay, great. And then, you guys did call out as well too again being included in more RFPs as this trend up market continues. Wondering and you called out kind of the bookings momentum too. But you could give us kind of a general sense of, just kind of pipeline trajectory there, how you are seeing the conversion trends as well do so being included in those conversations and they are seeing a naturally a bit more elongated sales cycles by nature. But how do you think about kind of the evolution of the conversion trends there as well as the platform continues to mature and the value proposition continues to compound? Thank you.
Bradley Herring: Yeah, we're seeing roughly around 30%, 40% conversions for qualified opportunities in the up-market space. And in particular, what’s been very helpful there in terms of opening up those opportunities has been the Workbench. And I think as Oleg highlighted earlier in the call, specific functionality in the Workbench has unlocked individual clients opportunities and bear in mind, some of these are features that have only been released in the last few months. And so one of the great advantages again and I know I often say this, the one of the great advantages of having that regular cadence of being able to push out new features weekly is that you will not see the growth in these areas as a step change. You are going to see numerous incremental proof points that show that we are executing on the strategy and able to win those clients, but perhaps we wouldn’t have been able to win two or three years ago.
Oleg Movchan : And, just one layer on top of that’s this is not just about conversions and move up-market. The product design and strategy that Neal’s team has executing on also laid the foundation for eventual premium products, and price increases. So actually create value for the firm that way as opposed to simply using it as a mechanism to unlock a new market segment.
Dylan Becker : Certainly. Okay. Thanks guys. Appreciated.
Oleg Movchan : Of course.
Operator: Your next question comes from the line of Parker Lane of Stifel. Your line is open.
Parker Lane : Yeah, guys. Thanks for taking the question this morning. Neal, you talked about a series of upgrades in the managed services piece I think that the first stuff you’ve done since of its launch. Is that response to the feedback you're getting out there from clients, or is that more about going on an offense and identifying opportunities to do more potentially extract them additional revenue from that?
Neal Pawar : That's a great question. It's a combination of both. We've been talking to all of our managed service clients and getting feedback on what they want to see more of and, in general, we've heard from them that they want more visual and more interactive ways of working with the team, that's an extension of their own team. And so, a lot of the tech upgrades that are coming out are very much in response to that. But at the same time, and we talked about this a little bit in the Investor Day earlier this year, we also acknowledged that the way we built the managed service business still had some elements that are more manual than frankly we would like. And so we've been investing over the past year in improving the tooling, so not only the client experience improves, but also our employees that work on it, their experience improves and most importantly, their productivity improves which also means that we’ll be able to get much greater margins out of that business, as well.
Parker Lane : Got it. And one quick follow-up for Brad. Looking at the ACV distribution, by that to decide the client you have actually better really solid trend towards this 500k cohort customers. Should we think about that trend line discontinuing here? Should there be any reasons for that to moderate based on the lead distribution you have and what’s in the pipeline today?
Bradley Herring: No, Parker, in fact that's, it's a slide we're trying to get people to focus on. I think it’s – we certainly expect those trends to continue and I think one of the big points we want to make sure, we believe this call and really in that page takeaway, is this is not a new trend, right? This has been going on for some time and we expect that trend to continue.
Parker Lane : Got it. Thank you.
Operator: Your next question comes from the line of Kevin McVeigh of UBS. Your line is open.
Kevin McVeigh: Right. Thanks. Is there any way to think about like how many modules you are bringing to market today, both I guess, as opposed to maybe the time of IPO and what that can mean in terms of all-in if clients were to use them all, what that would mean as opposed to maybe the time of IPO just to try to dimensionalize that a little bit.
Oleg Movchan : Yeah sure. So, you rewind three years back and we're basically all modular, the nature of our product wasn't that modular, right? We have core PMS offering and then we had an OMS product on top of it and that was basically was two ways for us to make money and then the third one was managed services. Right, today we are shaking the foundation for doing more than that. We don’t like to kind of spread the value that our systems delivers as modular. However, clients get the platform and then they sort of expand the footprint within the platform from PMS. They integrate the accounting module and then, accounting capability and then they expand the presence with OMS and other things. The path forward, as Neal articulated earlier is not just about that. It's about building new products and capabilities. So, first foray is the Portfolio Workbench on that front. But at some point, we will be more aggressive in number one creating premium features including risk management optimization and sector attribution, things like that. So everything that happens both pre and post-investment decision-making reach your functionality on AMS and set sort of being a bit more offensive as far as OMS is concerned and that’s an offering as a standalone product. And other things as Neal mentioned a couple of things about marketplace. So we are gearing up on creating a more universal comprehensive framework. So we don't just built our own products and distribute it using our network, but also bring external partners and have this kind of revenue sharing or partnership agreements where can reach clients experience and create value.
Kevin McVeigh: Helpful. And then just in terms of the client hesitancy around the election, was there anything that they pointed to just more recently to obviously there's we’ve been in election cycle for a couple of quarters now. Just anything that were highlighting the concern in terms of switching?
Oleg Movchan : We did not say anything. I said that our conversations with clients, I mean people are positioned, I think well in our price per market and pretty efficient in terms of pricing it. So bearing any wall that sort of falling up or post-election, I think, people are just thinking ahead and what will happen. I will say, the conversations about interest rate environments just lead to more and more consensus around elevated volatility levels in the marketplace, which is good for all constituents and hedge funds. So that just one color I cannot wear at this point.
Kevin McVeigh: Okay. Thank you..
Operator: Your next question comes from the line of Alexei Gogolev of JP Morgan. Your line is open.
Elise Kenner: Hi, this is Elise Kenner on for Alexei Gogolev. My first question was, can you just ask for where you're at in terms of conversations with third-party consultants and system integrators as you move up-markets?
Oleg Movchan : Yeah, absolutely. We’ve been - if you go on to our public social media feed, you’ll see, we’ve been actually hosting webinars with a number of the system integrators. So it’s an education process. We are on the one hand obviously, we to make sure that the integrators understand Enfusion’s capabilities were newer to some of them. So we are spending a lot of time with them. So that as they manage RFPs on behalf of their clients, they know where to insert Enfusion into the process and perhaps where not to. So that's been going really well and we’ve been using the opportunity to talk to their clients through these webinars that we’ve done with them. And we are starting to see the fruits of that. We’ve got a few opportunities that they brought to us. And likewise, opportunities that we brought to them. So still in the early innings, but off to a really positive start and we recognize that this is going to be a super important channel for us as we continue that up-market move in 2025.
Elise Kenner: Got it. Thank you. And then for my second question, in 3Q ‘24, there wasn't really much the – of ACV Could you provide more color on this dynamic as typically you report around 2.5% to 3% sequential ACV growth in a given 3Q?.
Neal Pawar: Yeah. ACV is going to move around a little bit. It's not going to be as linear on a quarterly basis. That's why if you look at the charts we put out their earnings material, if we go back four quarter, there's going to be some bouncing around it's a question of who comes in, who churns, who starts to monetize because remember, even a big booking, doesn’t start it did included in that ACV or ARR calculus still there in the monetization mode. So there'll be a little bouncing around across the quarters. But over four quarter trend you are still going to see that expansion.
Oleg Movchan : Yeah. And just one more element to that, I mean, the investments that Neal mentioned that we are making in managed services, the frame work that Brad help us to set out in front and back book dynamic. The managed services should help us accelerate the front book monetization. So, as we get more larger complex clients, we should be able to onboard them quicker and more efficiently which should then of course translated into back book, and create high ACVs quicker.
Elise Kenner: Got it. Thank you.
Operator: Your next question comes from the line of Gabriela Borges of Goldman Sachs. Your line is open.
Gabriela Borges: Hi, good morning. Thanks for taking the question. I have for Neal or for Oleg. I think about the success you you've had with before you looked that and how much of a needle move that's been with landing up-market. Maybe expand as far as little bit as we think about the cadence that product innovation that you’ve been talking about for the last 25 minutes, what are the one or two products that we should be looking at or product enhancements that we should be looking at that you think moves the needle less within this up-market over the next couple of years?
Neal Pawar: Yeah, let me - thanks for the question. Let me let me outline a couple things. First of all, and we've talked about this a little bit in the past, but to share some more color on it as we think about the Workbench and as you've seen from some of the opportunities that the Workbench has helped us unlock, we still very much been playing catch-up in some of that functionality and adding capabilities that some of the clients that we’ve been winning believe for table stakes. In 2025, we see that trend moving more into offense than defense where we start to offer capabilities in the workbench mostly around more complex portfolio construction, the use of capabilities like back to models and optimizers, for portfolio construction where we start to charge for those incremental features. So that’s one example through the lens of the Workbench. I think, outside of the Workbench, other products where we're busy at work is, I also cite for managed services which we've already talked about, I will talk a little bit about our analytics and data platform which you are seeing more and more feedback from clients that they want to run more complex analytics on their own data Enfusion, like most systems is a transactional-based system and so, we don’t encourage clients to run really large complex analytics including the type of analytics you run for Artificial Intelligence against a transactional data store. And so, we are encouraging them to move to use our data warehouse and our analytics product which is hosted inside of Google’s cloud. And obviously there is an additional upsell component with that as well. The last thing I’ll say is, the marketplace while still in its early innings has tremendous potential for us and it allows us to offer our clients a much wider range of complementary products that don’t compete with the core Enfusion platform but gives clients additional capabilities around, for example, treasury and collateral management and margin calculation that they can add on to Enfusion with a revenue share to Enfusion in the process.
Gabriela Borges: Absolutely, that makes sense. The follow-up is for Oleg and Brad. So I'm thinking about some of the leadership changes that you've made over the last year. And then, Oleg, I think you just mentioned, Brad introducing that front book versus the back book dynamics. What I want to ask you is how that's changing some of your planning and some of your forecasting purposes for 2025? So, would love any commentary that you would like to provide how the planning process - how the forecasting process has evolved over the last year or two? And some of the things that maybe you are more focused on now versus in prior planning years. Thank you.
Bradley Herring : Great question, Gabriela. Because that is certainly a process that changes pretty substantial as a by-product of all these hires. What it's done is it’s opened up much more kind of cross-corporate involvement in our planning processes. We get much more visibility of what we think is happening and that’s both from a front book and a back book perspective, right. I mean, I think, we think about what we are looking at in terms of pipeline, what we are looking at in terms of closure rates. We’ve opened up a lot of our sales force capabilities. We’ve got different modules in there that we are utilizing. And then how it translates into much more specific timeframes around product rollouts. The sequencing of how that product rollout begins to monetize. It’s really strongly a by-product of a lot of these brokers dealers brought in, which is why I mentioned them as to a key driver, not only of front book – I’m sorry, back book opportunities, but also in terms of just our visibility to see it. Our ability to measure it and our ability to deploy on a much more kind of granular basis. So, your point is, spot on. We will have better visibility on forecasting. We will have better visibility on product rollout and we will have better visibility on how we got the markets accordingly.
Oleg Movchan: And we're just beginning. I mean, we are going to, you're going to see a much more, much broader universe of talents that come to Enfusion from our competitors from buy-side, sell-side. There been a lot of mistakes from their past life track record and just as important a culture which we are very, very focused at Enfusion. So we actually need to infuse on the path and move forward with people that actually have experienced executing an institutional asset management market, executing at scale as we add revenue to the business, we need operators that were in their seats, growing the business, from $200 million revenue to $300mln, $400 million, $500 million.
Gabriela Borges: That makes sense. Thank you for the details.
Operator: Your next question comes from the line of Koji Ikeda of Bank of America. Your line is open.
Koji Ikeda : Yeah, good morning. Hey guys. Thanks for taking the questions. I wanted to ask a question on ARR. And in fact, when I listen to the prepared remarks, the new deal commentary sounds really strong. But when I look at ARR, it did decelerate in the quarter to slightly below 30%, slightly above in the last quarter. So, maybe you could talk about what are some of the underlying drivers or metrics outside of ARR that's giving you the confidence in the revenue growth acceleration that’s embedded in the guide? I heard earlier maybe that 500K ACV metric, is that one of the key metrics we should be looking at? Thanks.
Bradley Herring : Yeah. Hey, Koji. This is Brad. Yeah, I'll take that. So, when you look at ARR, remember it's a snapshot in time. So you're right. We've seen a lot of really strong bookings. We saw some really strong bookings in Q3, for example, but if those bookings haven’t started to monetize yet, which may take 30 to 60 days for the implementation piece will start. That would not be included in ARRs yet. So there is little bit of a timing impact of how some of these bookings kind of manifest themselves in ARR. But they will be in ARR very soon. In fact, we monitor another statistic internally called CAR, which is a contracted ARR and that’s where you can kind of see the difference between those two. So that's AR is important, but I think when you look at it over any sequential quarter, you can get a little bit of noise just based on timing. Yeah, when you look at going forward with the guide, I think, I'll reiterate a couple of those points. When you go into next year, there is a couple of things that really give us conviction about getting back into our, primarily our back book targets in the mid-teens, because that’s where kind of our current guess fits. I would be paying close attention to that overall ACV number. I would be paying attention to another organic growth number, which we will be talking about – I will be paying attention to churn which has returned largely to historical levels. So I feel good about that number. But you grow that number, I think you are looking at finish rates in the managed services which we’ll be talking about, we are going to be talking about product deployment, and cross-sell within our base, it just bodes there to comment I made a minute ago which we have so many more tools in the toolbox going into 2025 than we had in 2024, that puts us in a very offensive position, rather than kind of sitting back in more of a defensive position against seeing what clients do in a macro environment.
Koji Ikeda : Got it right? No, thanks so much for that. And just one follow-up here. When I look at net revenue retention, listen to all the commentary, the Q&A, it does seem to imply that net revenue retention is potentially bound here in the third quarter. Just curious in looking at the guidance and kind of the factors of the next several quarters, is that a fair assumption or if it is going to contract, what are some of the things that we should be aware of? Thank you so much for taking the questions.
Bradley Herring : No great. Great question. I think, I would say with the last couple quarters we've seen it, 102, 103, we haven't seen it dip below that. So, I feel like it's reached a bottom point. We have seen some trend start to improve or at least stabilize. We’ve seen, I’ve mentioned the upsells have kind of slow down to some degree, downgrades have largely stabilized, churn has largely stabilized, to even starting to improve, it’s hard to bet going forward. But given what we are seeing today, we certainly don’t see it dropping anymore from here. And that's also why, we pay attention a little bit more to that back book component, I’ll offer up to this call that NDR because really our client growth has been so rapid, it actually represents about 80% of our clients. So you get a little bit of skew in the NDR number just based on what client pools are in a 12 month look back versus the back book which is a 100% inclusion. And don’t forget also because we will get about 60 basis points of pick up in Q4 when that UBS CS impact rolls off. So, I am thinking that next quarter is, we should certainly see a slight pickup. We are trying to figure out, we’ve got targets for a bigger pick up at just a 60 basis points. And then, going into 2025 is where we start to see that number really start to accelerate for all those reasons we walk through.
Koji Ikeda : Got it. Thank you so much for taking the question. Really appreciate it.
Operator: And your last question comes from the line of Crispin Love of Piper Sandler. Your line is open.
Crispin Love: Thanks. Good morning, everyone. Just first off like you said, the Americans are on track for the best of launch market since 2021. I'm just curious if you could parse that out a little bit fit that launch market for Enfusion or the industry more generally? And then can you discuss what you believe some of the factors are that are driving an increase in launches? And if you think that could be sustainable over the next few quarters? Thank you.
Oleg Movchan: Hi, Chris, It’s Oleg here. Let's just take the question. So, there is nothing more granular than that from my perspective. So this is just a regional fin as we discussed. People are just blowing capital in the Americas much more aggressively and taking capital away from APAC. We do see some more indirect and capital deployments in Europe as well. But America is interesting - one of the most interesting environments for launches we’ve ever seen. I’ve spoken with some of the people in the industry looks like people are looking to put capital to work in strategies, where volatility is a friend as well as private credit, credit strategies are typically short volatility strategies but it’s a very hot, hot area, lot of people are either looking to launch new funds or deploying private credit strategies within their hedge fund offerings within vehicles and typical sort of launches that trade macro or multi strat that typically tend to be a longer volatility than other strategies are involved. So, this is sort of the high level feature I think overall, is good for us, is good for the markets and we have capturing network factor default system for launches in many different cases as you know, but for us it’s just at this point it’s a current perimeter it’s a home lens so to speak our eyes are on the future and while looking at that marketplace, not just on a standalone basis, but then part of the world portfolio of strategies and products that institutional asset management industry offers alongside with loan only, it’s income equities liquid asset classes and then the liquid private equity and private credit.
Crispin Love: Great. I appreciate the color there, Oleg. Thank you. That’s it for me.
Operator: That concludes the Q&A session. I’ll now turn the conference back over to Oleg Movchan for closing remarks.
Oleg Movchan: Thank you all for very thoughtful questions. I thought it was helpful and we look forward to reconnecting with you shortly for the follow-ups.
Operator: This concludes today’s conference call. You may now disconnect.